Operator: Ladies and gentlemen, good day and welcome to the Wipro Limited Earnings Conference Call. As a reminder, for the duration of this conference, all participant lines will be in the listen-only mode, and there will be an opportunity for you to ask questions at the end of today’s presentation. (Operator Instructions) Please note that this conference is being recorded. At this time, I would like to hand the conference over to Mr. Rajendra Shreemal. Thank you and over to you, sir.
Rajendra Shreemal: Melissa, thank you, and thanks everyone for joining us today. New Year greetings from Wipro Limited, and a very warm afternoon to all of you. As the operator just mentioned, my name is Rajendra Shreemal. I head the Investor Relation here along with Aravind in Bangalore and Sridhar in U.S., we handle the Investor interface for Wipro. I welcome you all to the conference call for our results for the fiscal quarter ended December 31, 2011. We will begin with a short address from Mr. Azim Premji, Chairman, followed by IT business highlights by T. K. Kurien, CEO of IT business; and Suresh Senapaty, CFO Wipro Limited who will present the financial highlights. The operator will then open the bridge for the Q&A with the management team, and we have the entire senior management here to take on the Q&A from the analysts and investors. Before Mr. Premji starts the address, let me just draw your attention to the fact that during the call we might make certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on the management’s current expectations and are associated with uncertainty and risks, which could cause the actual results to differ materially from those expected. These uncertainties and risk factors have been explained in detail in our filings with the SEC of the U.S.A. Wipro does not undertake any obligation to update forward-looking statements to reflect events or circumstances after the date of filing thereof. This conference call will be archived, and the transcript will be available in our website www.wipro.com. Ladies and gentlemen, let me now hand over the floor to Mr. Azim Premji, Chairman, Wipro.
Azim Premji: Good afternoon to all of you. Let me just basically summarize at the Wipro Corporation level, the Wipro Limited level. Wipro Limited reported revenues in quarter three financial year of ‘12 of INR100 billion, a year-on-year growth of 28%. Net income for the quarter at INR14.6 billion showed a year-on-year growth of 10%. IT Services business delivered a robust, constant currency sequential growth, and we continue to build on the momentum by incremental investments and delivery, as well as in the sales engine. We have seen positive movement both in employee satisfaction as well as customer satisfaction. A quick summary on the macro environment. There’s a lot of uncertainty in the overall macro environment, particularly in Europe, but there are signs of growth returning in U.S. with unemployment levels heading south. It’s expected that this will head further south. In our view, customers are prepared for slow growth in the western world, and IT strategies are designed keeping this variable in mind. There is increased focus on emerging markets, which is leading to superior growth for us. We continue to see a lot more stability and clarity in customer organizations as compared to 2008. Organizations are focused on adapting the business model to meet the changing growth outlook in their business both on the revenue side as well as on the cost side. Let me talk more specifically about our Consumer Care business. In Consumer Care and Lighting business, we have seen very strong growth of year-on-year 26% in quarter three. Business had shown consistent growth of about 20% throughout the year. Santoor continues to grow well through a healthy mix of both volumes and value-led exports. We continue to see all around growth across products and segments. Our business continues to do well, and growth was driven by China, by Indonesia, Vietnam and Malaysia. Wipro Infrastructure Engineering: Despite market softness, we continue to see strong growth in India. We are beginning to see customer sentiment reflect a lower order intake in Europe in some segments. Continuing our vision to expand the hydraulic portfolio, we have formally signed a JV agreement with Kawasaki Precision Machines Limited in December. The JV will focus on manufacturing of hydraulic pumps, which is considered the heart of the cylinder. Kawasaki brings in technology and Wipro brings in local relationship with the OEMs and market presences. It is an important strategic joint venture. Wipro Eco Energy: We continue to see a demand for intelligent, sustainable alternative energy generation. We won the mandate to implement and manage an energy management system for 1,100 store locations of a large retailer in the United States. We have successfully delivered a cumulative capacity of about 40 megawatts of utility-scale solar PV plants, which have been connected to the national grid. Overall, we continue to be very positive about this business. I’m confident that we are on the right path. I will now request T. K. to give a brief overview about the IT business, followed by Suresh Senapaty to give the financial highlights.
TK Kurien: Thank you, Mr. Premji. Good afternoon, ladies and gentlemen. Thank you for joining us here today. The change in Wipro is truly underway, and it’s all about execution. As I said a few quarters back, ours is a very simple business. If we keep our customers happy and our employees happy, our results show that we always succeed. So let me just get back to that. Our customer satisfaction for strategic accounts needs to improve, with a 9% improvement still year-to-date. Customers appreciate the realignment of structure, our stronger account management focus and alignment of accountability. And that is what’s driving some of our incremental business in our existing accounts. On the employee side, we’ve reduced quarter (inaudible) attrition by about 9% in the last two quarters to 14.2%, which is the lowest in the last eight quarters. This is a reflection of the fact that employees have embraced a new direction, and our engaging measures are making a difference. The result of all this has been that we grew a little over 4.5% sequentially in constant currency and exceeded the top end of our guidance. Ultimately in our business, our goal is to be a business value player, especially in a market that is the market in which we play in, which is primarily driven by disruption. We believe that the next technology disruption will be at the intersection of cloud, analytics and mobility, and that’s where we would like to play with process access, intellectual property and platforms that will be highly differentiated. Let me give you an update in all these businesses. In the Cloud business, we had 20 wins across various industry segments. We see strong growth in our cloud-based IT transformation and for our process transformation using a public SaaS, SI services, making it the less (inaudible) option for enterprise clients. We have built key apps in the areas of public cloud management, ERPs utility and in offering cloud along with mobility, big data and analytics. An example of the work that we recently undertook includes for a telecom major, we are enabling a process transformation in the customer relationship management co-enterprise processes to bring truly variable cost at an operational level. They’re also driving in parallel consolidation of disparate systems and driving standardization both the process levels and at the technology level. Overall, the impact of all of these would be that we would reduce the cost per transaction by over 40%. On Analytics, we continue to show good traction with a focus of differentiation, especially around the drive into performance management. We have launched two cloud offerings on two analytical solution areas, market mix modeling and customer attrition, for which we have customers in all both these areas. We’re able to set up a high performance computing lab for developing in-memory analytic solutions. We are among the first leading global service providers to create such a facility. On Mobility, it’s been an action-packed quarter for us in the mobility space. We saw our head count going to over 1,700 people in this particular area. Many examples of the good work that we have done in this space, but something that we’re very proud of is the initiative in the mobility space that we have launched internal to Wipro. It’s called a Wipro AppLife at the enterprise app store of Wipro. This initiative is helping our employees to collaborate to build solution ideas for our customers as well as improving our internal operations. It provides employees an opportunity to utilize their creative energies outside of his normal day-to-day world. Out of the 3,000 applications that we have got, 1,000 employees have signed up to create applications at Wipro. The app store’s apps are improving efficiency of our operations such as travel management, sales CRM, field engineering transformation, (inaudible). Some apps also include a mobile solution genie, which is really transforming the way field engineering support is provided to customers. We believe that this is the way forward, and we’re making investment in enabling internal measures to drive in that direction. We are executing to a well made plan to build a company that will lead the next level of business opportunities. Thank you very much. Over to Suresh, Senapaty.
Suresh Senapaty: Good day, ladies and gentlemen. Wish you a very happy and prosperous New Year. Before I delve into our financials, please note that for the convenience of readers, our IFRS financial statement has been translated into dollars at the (inaudible) rates in New York City on 31st December, 2011 or cable transfers in Indian rupees as certified by the Federal Reserve Board of New York, which was $1 equal to INR53.01. Accordingly, revenue of our IT Services segment, that was $1,505 million or in rupee terms INR76 billion, appears in our earnings release at $1,435 million based on the current translation. Let me start by saying that the board of directors have declared an interim dividend of INR2 per share next quarter. Moving on to the quarter performance, our IT Services revenue for the quarter ending 31st December was $1,505 million on a reported basis, a sequential growth of 2.2% and a year-on-year growth of 12%. On a constant currency basis, we delivered sequential growth of 4.5% which was ahead of our – of the upper end of the guidance. We have seen all around growth in the current quarter. Healthcare led growth with 6.9% sequentially on a constant currency basis, followed by retail, 5.4%, local media and Telecom 4.8%, BFSI, 4.6%, and manufacturing 4.2%. We continue to be positive on our momentum verticals. BAS, Analytics and ADM led the way for a service line perspective. We saw a pickup in growth in U.S., some amount of the emergence of growth in Japan and continued growth momentum in India and Middle East and APAC. We moved the needle further on our focused areas of client engagement in the current quarter on a trailing 12 months basis. We have six accounts which are more than $100 million in revenue, up from last one year. We are upfront one last year. We’re happy with our progress, and we continue to make investment in this area. We saw improvement in revenue productivity in the quarter with a drawback of productivity in fixed price volumes. Offshore realizations improved 3.6% and onsite realization improved 4.3% sequentially on a constant currency basis. We continue to characterize the pricing environment as stable. Sequential volume growth in the current quarter was 1.8% impacted by additional leaves taken by employees during the quarter and effort optimization in fixed price projects. Operating margin improved by 80 basis points, largely driven by currency and pricing which also funded additional investment in SG&A and strategic expense. As of 31st December 2011, our DSO showed marked improvement and was at 71 days down from 76 in the previous quarter. Our return on capital employed for the IT business improved by 4% sequentially to 38% while return on capital employed for our overall company improved by two percentage points to 21%. Our IT Products business showed operating profit growth of 16% year-on-year in the current quarter. Consumer Care and Lighting business continued to see good momentum with revenue growth of 26% year-on-year and operating profit growth of 22%. On the foreign exchange front our realized rate for the quarter was INR50.53 versus a rate of INR46.38 realized for the last quarter. On a quarter-on-quarter basis, ForEx gave us a positive impact of 70 basis points to operating margin. OCI as of period end stood at INR5.5 billion, and we had about $1.7 billion of ForEx contracts outstanding. The effective tax rate for the quarter is 20.7%. Our net cash balance on the balance sheet was INR53 billion. We’ll be glad to take questions from here. Operator?
Operator: So, do you want to begin with the question-and-answer session?
Suresh Senapaty: Yes.
Operator: Sure. Ladies and gentlemen we will now begin with the question-and-answer session. (Operator Instructions) We have the first question from the line of Vihang Naik from MF Global. Please, go ahead.
Vihang Naik – MF Global Sify Securities: Hi. Good afternoon, sir, and congrats on good numbers and great guidance. First question as you know, I mean, you have reported a pretty healthy growth in both on-site and offshore pricing on constant currency. Despite having a large contribution to revenue growth from India and APAC? So I mean, can you just explain this fixed price projects angle to it? I mean how exactly have you got about this pricing increase?
Rajendra Shreemal: Jatin Dalal, our CFO will kind of answer your question. Mr. Jatin Dalal?
Vihang Naik – MF Global Sify Securities: Sure.
Jatin Dalal: Yeah, hi. So the way to look at our realization is really the total revenues that we derived off the IT services that we delivered for this quarter divided by the number of people who were engaged in delivering the services. So to a large extent, while our coupon price remained stable during the quarter, we were able to drive the fixed price productivity. This is to say that delivering the same revenue with lower number of deployed associates or deployed employees, and that drove our realization up. So therefore, you are seeing our realization up in December quarter despite a lower number of billing days as well as the fact that there is – what our coupon pricing was too.
Azim Premji: And just to supplement that, our initiatives on running the IT. We’re talking about use of IT and whereby without compromising on the output contracted or as far as customer is concerned how to rationalize on the efforts by use of technology, use of the components and so on, and it is reflection of that. And therefore because a substantial part of our regulatory fixed price, sometimes it gets lumpy, and the benefit of that we got in quarter three.
Vihang Naik – MF Global Sify Securities: Great. So this pricing increase, how would it have impacted your margins? By what extent will you see these margins getting impacted by pricing?
Azim Premji: If you look at the overall flow of the margin, about 70 basis points is because of currency and about 170 basis points because of price realization improvement. And part of that has gone into expanding the overall margins, and part of it has gone through towards investing in SG&A because we are trying create more and more differentiation in the front end and also in some standardization of the backend. So in that effort, our investment has gone about 80 basis points on the SG&A. And part of it has gone into creating a strategic bench to be able to capture the opportunities which are going to come our way. So a combination of this, we have invested something for the customers, for the employees, as well as expanded margins of investors.
Vihang Naik – MF Global Sify Securities: Sure. Maybe I’ll come up for a follow-up. Thank you.
Operator: Thank you. The next question is from the line of Ankur Rudra from Ambit Capital. Please go ahead.
Ankur Rudra – Ambit Capital: Hi, good afternoon and congratulations on a great set of numbers. My questions are primarily on – if you could throw some color on the trends you’ve seen in budget closures in your largest accounts so far, what it portends for the year? And secondly, if you’ve seen any changes in discretionary spending plans over the course of the quarter?
TK Kurien: Ankur, this is T.K. Kurien, let me answer that. So there a couple of things we have seen. If you look at – I’ll break it up into two kinds of comments. One is among our largest customers and industry-specific issues. So, let me start with the bad news. If you look at investment banking, clearly stressed in terms of both size of budget as well as the amount of the coupon rate because while short term you may have issues for the investment banks, we think long term, the volume would kind of come back, but there is a little bit of pricing pressure that we’re seeing in some investment banks. If you look at retail banking, we don’t see any pressure at all that continues. But discretionary budget itself, we would kind of wait and watch because what we have seen is that there is a little bit of realignment going on as far as budgets are concerned around specific programs. If there are large initiatives which are there, which are multi-year initiatives, we are seeing some pullback based upon markets and some parts of the business actually going ahead. So a little difficult to kind of decide as to which way it’s going to go in our retail banking customers. But overall, we are seeing significant spend in a couple of areas, regulatory. From a technology perspective, we have seen analytics spend continuing to happen. We are seeing mobility spend continue to happen. And in most of the debt to prices to make sure that assets are spreaded better, there is a certain amount of investment going on the infrastructure side especially into the cloud. If you look at retail itself as an industry, we’re seeing some slowdown in decision-making in the last quarter. We saw it primarily because of the Christmas season. We expect that in January, towards the end of January, we’d see budgets again getting released, and we don’t see too much of an issue there. As far as energy is concerned, again, we saw a little bit of softness on our consulting business at the end of the quarter primarily based upon the number of days, but we don’t see it as a big issue, we see that recovering at least in quarter one of our year, which would be quarter two of the calendar year because some of the large upstream businesses would continue to kind of kick in and spend would really start. If you look at healthcare, pharma, used to be bullish, and we see no cutback happening there. In fact we see budgets flat to stable. On telecom on the equipment provider side, we see significant stresses. Both on the service provider side, out on the media side, we don’t see any pullback. We see a significant opportunity in terms of cost reduction, there in that particular gain. Manufacturing again, consumer electronics is stressed. Other parts of the business are doing well, both automobile as well as process. That in a sense is what we see in terms of demand. So, very sectorial to some extent geographic based upon labor mobility. But overall I would say flat would be the right way to kind of describe budgets, at least the way we see it today. Things may change in February after the budgets actually gets allocated to specific programs, but we’ll wait and watch.
Ankur Rudra – Ambit Capital: Thanks for that. From a company level, discretionary spent projects that were maybe in flight on the order cost of last quarter. Any sense of pull back, because we’ve heard a few commentary in that regard from some of your peers over this result season?
TK Kurien: So, we have seen some of it in smaller projects, we have not seen it in the big programs. So, as long as we are aligned to the right program, we have not seen it as long as there are small programs which are (inaudible).
Ankur Rudra – Ambit Capital: Fair enough. Thanks for that. I’ll come back later.
TK Kurien: Thanks.
Operator: Thank you. The next question is from the line of Mitali Ghosh from Bank of America Merrill Lynch. Please go ahead.
Mitali Ghosh – DSP Merrill Lynch Securities: Thanks for the very useful commentary you gave on the demand environment. So compared to, let’s say, three months ago, how would you describe your pipeline and conversion prospects?
TK Kurien: So pipeline has got an upward bias. Conversion, too, has had a marginally upward bias. But if you look at it, nothing much has changed, at least from a pipeline perspective. What’s happened is, I think I kind of described it a little bit earlier, is closure times in certain industries have changed. So the lead time to closure has changed. And I think that’s fundamentally what we are seeing in some industries.
Mitali Ghosh – DSP Merrill Lynch Securities: Right. And in terms of the – you mentioned the budgets are sort of flattish, but the concern is obviously on whether they get spent and when they get spent. And while I think the expectation is that perhaps in the next four weeks, one should probably see some of that happening. What do you think is the risk of cancellations or them being pushed out further?
TK Kurien: Mitali, it’s very difficult to say because we have to wait and watch. And I was describing it to one of my colleagues, it’s like, we’re trying to run fast but we are looking over our shoulder now and then, expecting the world to collapse behind us. So it’s pretty much like an Indiana Jones kind of a movie, but you don’t know whether that’s real or a scenario at all because it may not be. So our view is that as long as we keep ahead of everyone else, we’re good. But again, if the market does behave irrationally then – I mean, I can’t judge that right now.
Mitali Ghosh – DSP Merrill Lynch Securities: Right. And would you say that there is a lot of, I mean, in the pipeline, are there a lot of annuity deals in the pipeline, perhaps, or is there any way to get some visibility based on that?
TK Kurien: There are a significant number of annuity deals in the pipeline, but if you look at the annuity component of the pipeline, more and more deals that we see are getting to be integrated deals: technology BPO, technology applications. That is a change that we are seeing as far as the pipeline is concerned. Now, whether that’s only us or whether it’s a secular trend, it’s very difficult for me to judge.
Mitali Ghosh – DSP Merrill Lynch Securities: Understood. Just moving on to the cash flow side. I think this quarter your cash flow improved quite nicely, and I think your DSOs and unbilled went down. Just trying to understand where we are on the trajectory there and how much more scope for improvement.
TK Kurien: So Senapaty can answer that question, since cash flow is at the Wipro Limited level.
Suresh Senapaty: Yeah Mitali, yes, exactly. So there was a focus with respect to making sure that the DSOs can be managed better. There were issues around the fixed price, unbilled and the some of the contacts as well as some collection efficiencies. I think we’re putting in place a new process, and India to be able to even further to squeeze that out in the next two quarters to something better than we are today.
Mitali Ghosh – DSP Merrill Lynch Securities: So would you say there is a lot more scope, or any sort of targeted levels you have in mind?
Suresh Senapaty: We have for sure, that’s not something specifically we guide on, but if you look at traditionally, let’s say, a year back, one-half years back, we’re much better than what we are even though it is improved situation. So at least the first track will be to be able to get there to the levels that we were one and a half years before and then look for improvement thereafter.
Mitali Ghosh – DSP Merrill Lynch Securities: Sure, thanks. And just one last question, we discussed – in terms of your geography performance this quarter, I think U.S. has done well, but Europe has been relatively softer which is sort of contrary to what we’ve seen with some of your peers. If you could perhaps give some commentary on what you are seeing Europe?
Jatin Dalal: Yeah, Mitali, Jatin here. So if you see our Europe performance, last year we grew 23.3%, and that was ahead of – 6% to 7% ahead of all our Indian Heritage applications. This year, also first two quarters we have done reasonably well. The current quarter performance is slightly muted, primarily driven by the currency applications that you see, the Europe performance in constant currency. We have grown 2.7% in constant currency and 12% YoY, which is in the context of what our company performance is very much impacted.
Mitali Ghosh – DSP Merrill Lynch Securities: Right. So you would expect U.S. to continue to grow faster?
Jatin Dalal: Well, we would not say there is a bias one geography or the other. We continue to see demand in both North America as well as Europe. This quarter, Europe has an impact across currency, and therefore the performance was limited, but otherwise we see prospects in both geographies.
Azim Premji: Mitali, it’s not bias of where we get business, we’d love business from anywhere.
Mitali Ghosh – DSP Merrill Lynch Securities: Sure. Thanks.
Operator: Thank you. The next question is from the line of Priya Sunder from Avenda Securities. Please go ahead.
Priya Sunder – Avenda Securities: Yeah, Hi. Congrats on a great set of numbers.
TK Kurien: I’m sorry, we can’t hear you. Can you just speak up a little bit?
Priya Sunder – Avenda Securities: Yeah, hi. Can you hear me now?
TK Kurien: Yes, we can.
Priya Sunder – Avenda Securities: Yeah. Congrats on a great set of numbers, first of all. I wanted to understand your interest IT Services. Are you seeing some kind of softness there? The growth has been a little slow in that area? And where exactly is the weakness coming from, whether it’s Indian business or global business?
TK Kurien: So, let me answer that, this is T. K. Kurien. In fact, our infrastructure business, yes, we have seen slower growth, but that’s not something that we have planned for. We expect that in the next couple of quarters, we’ll kind of make sure that that business also performs in line or ahead of company average.
Priya Sunder – Avenda Securities: Okay. Okay, thanks. I also want to understand your currency hedges. Can you give little more details on the kind of hedges you have taken, the 1.7 billion of sterling?
TK Kurien: Yeah, I’ll hand it over to Senapaty to kind of answer that question.
Suresh Senapaty: So that will be a combination of forward covers, simple forward covers and options currently.
Priya Sunder – Avenda Securities: Okay. So at what rate would that be?
Suresh Senapaty: That is a various range.
Priya Sunder – Avenda Securities: Okay.
Suresh Senapaty: And if you we have seen our data, we’re about OCI of 540 crores at the end of December.
Priya Sunder – Avenda Securities: Okay, yeah. Thanks. That’s it for me for now.
Operator: Thank you. The next question is from the line of Srivathsan Ramachandran from Spark Capital. Please go ahead.
Srivathsan Ramachandran – Spark Capital Advisors: Hi. Just wanted to understand the margin performance for this quarter. I’m not sure if I got it correctly. So you said 70 bps operating margins from ForEx, did I understand it correctly?
Suresh Senapaty: That is correct.
Srivathsan Ramachandran – Spark Capital Advisors: But just – because it’s close to almost some 7%, 7.5%, rupee depreciation is just a such a limited impact on the margins, or this is net of investments you are talking of?
Suresh Senapaty: No, no. It has been limited because we have a hedge book of about $1.8 billion. So from that point of view, in some form, it derisks – it does not allow us to be able to get the maximum value of a rupee depreciation; and similarly, sort of protects us from a sharp rupee appreciation. So net-net we had a gain of only 70 basis points as far as quarter three is concerned.
Srivathsan Ramachandran – Spark Capital Advisors: Okay, sure. Thank you.
Operator: Thank you. The next question is from the line of Nitin Padmanabhan from Motilal Oswal Securities Limited. Please go ahead.
Nitin Padmanabhan – Motilal Oswal Securities: Yeah, hi, thanks for taking my question. Two questions, actually, one is from a pricing perspective, the realizations improved this quarter. Last quarter we basically saw a dip because of lower fixed price projects, there were closures, and there were more offered than we could price. So, the plow back we have seen from an offshore realization perspective, is it because that is over with, and this has come back to normalcy?
Jatin Dalal: Yeah, hi, Nitin, Jatin here. So if you see our realization for current quarter offshore, is 4,406 is somewhere in the mid to high range of our long term average between 4,300 and 4,450. So to that extent, it’s a stable, sustainable number. If you see our onsite, it is 12,256, which is towards the higher end of our realization, and we are happy that we were able to get it. So yes, in offshore, there is an impact of normalization to the trend as we had spoken last quarter earnings call, we had said that we don’t see a secular trend in last quarter’s performance and we should be back to trend in current quarter, and that we have achieved. And on onsite, some of the benefits of fixed price productivity that we spoke about earlier have grown.
Nitin Padmanabhan – Motilal Oswal Securities: So, basically are we likely to see these realizations either flat assumption prudent or they’re likely to be really lumpy over the next couple of quarters?
Jatin Dalal: So, Nitin, as you are aware the realization would move because of...
Nitin Padmanabhan – Motilal Oswal Securities: Apart from currency.
Jatin Dalal: ...a number of reasons. One is number of days. The second is the service line is weak, and the third is the fixed price productivity. So to that extent it’s difficult to say how it will move, but we see from a coupon price standpoint and the realization standpoint are stable environment, and to that extent the revenue would led by volume.
Nitin Padmanabhan – Motilal Oswal Securities: Sure, sure. And secondly just two things, one is the – SG&A has gone up this quarter. Do we see these investments continuing all through the next couple of quarters?
Jatin Dalal: Yes. So, Nitin, our endeavor is to continue to invest wherever we feel that we are positioning ourselves well for the market that is emerging. So to that extent we will continue to invest and therefore one should not see that is a one quarter movement, and we will revert back to earlier number in the next one.
Nitin Padmanabhan – Motilal Oswal Securities: Right, right. And secondly just to understand, I think I asked you this last quarter as well, is that subcon has gone up again this quarter? So, basically – and we have also built in a bench, a reasonable bench. So, is subcon likely to come down, and if it comes down, what are the kind of benefits we could have to margins, and is there any specifics that they were looking at in terms of targets there?
Jatin Dalal: So, if you see, Nitin, the predominant reason for subcontracting expense in the P&L is on account of INR depreciation because the cost rate has gone up. Effectively we have not seen any meaningful increase in volumes of subcontractors between Q2 and Q3. So, there is no margin impact in the current quarter. These are the previous quarter on account of subcontracts.
Nitin Padmanabhan – Motilal Oswal Securities: Since we already have a bench, are we likely to reduce that or would that have a meaningful impact on margins, let’s say, over a year or more than that or longer?
Jatin Dalal: Yeah. So, Nitin, in medium term, (inaudible) but in short term, the reason some of the subcontractors they’ve been deployed is because they get the skill set which we need for short term and, hence, we feel that it’s a greater value to get somebody who’s a subcontractor than hiring a full-time employee. So to that extent in near term, it is difficult to comment about but in medium term certainly, I think we are significantly ahead of our normal run rate. To that extent, we can certainly expect a margin of at least on account of subcontractor relations.
Nitin Padmanabhan – Motilal Oswal Securities: Yes. Any sense of what the momentum could be if you were to bring it back to historical averages?
Jatin Dalal: I think you could you ask your further questions later on, please, so that we can give a chance to others.
Nitin Padmanabhan – Motilal Oswal Securities: Yeah, sure.
Jatin Dalal: And we request all others to please limit your questions to maybe one or two questions. Maybe you can just ask the last question. Go ahead.
Nitin Padmanabhan – Motilal Oswal Securities: Yeah. The last one was if you were to bring it down from 9.5 to, let’s say, normal averages of 5.5, 6, any specifics in terms of what could be the gains that we could see?
Jatin Dalal: It is difficult to comment, Nitin, because the subcontractors are (inaudible) their various cost points. To that extent, it’s difficult to say 1% reduction or increase would impact margin by how much.
Nitin Padmanabhan – Motilal Oswal Securities: Sure, sure. Thank you.
Operator: Thank you. The next question is from the line of Abhishek Shindadkar from ICICI Securities. Please go ahead.
Abhishek Shindadkar – ICICI Securities: Hi, sir. Congrats on a great quarter and thanks for taking my question. I just have one question. Could you highlight why our net utilization excluding trainees is declining since Q1? And maybe some color on why is happening that? Thank you.
TK Kurien: Yes. So it is line with all our commentary that we made, Abhishek, that there is a hiring factor that we have. They of course impact trainees significantly more. But the 77.5 from 80.7 in previous quarter is predominantly having capacity to deliver on the guidance that we have given for Q4 and for future quarters, and that’s a conscious cost.
Abhishek Shindadkar – ICICI Securities: Okay. And if I can ask one more. Your guidance of 1% to 3%, that includes the SCIC $45 million or $40 million run rate, am I correct?
Azim Premji: Absolutely, it includes SCIC revenue. We’re not specifically articulating what that number is. But yes, it does include that because it is an integral part of energy vertical.
Abhishek Shindadkar – ICICI Securities: All the best for the rest of the year and thanks for taking my question.
Azim Premji: Thank you.
TK Kurien: Thanks.
Operator: Thank you. The next question is from the line of Pradat Tandurkar from Katanarobico Asset Management. Please go ahead.
Pradat Tandurkar – Katanarobico Asset Management: Yes. Sir, actually my question is about the telecom vertical you commented...
Azim Premji: Speak up, please.
Pradat Tandurkar – Katanarobico Asset Management: Hello. Hello?
Azim Premji: Yeah.
Pradat Tandurkar – Katanarobico Asset Management: Yeah. My question is about the telecom vertical. Actually, vis-à-vis last quarter, it’s done very well this quarter. And in the starting commentary, you also said that you have good deals in mobility in telecom, so could you just elaborate on the pipeline in the telecom vertical, and are there any changes happening in the U.S. and European markets?
Rajendra Shreemal: So Mr. Ayan Mukerji who runs our Telecom Media business will actually talk through that. Ayan?
Ayan Mukerji: (Inaudible) you were a little soft in the beginning, but if I follow your question, you want to know about the pipeline of the telecom vertical primarily moving forward, is that it?
Pradat Tandurkar – Katanarobico Asset Management: Yeah, correct. Correct.
Ayan Mukerji: So I think the pipeline – we have three verticals that constitute the global Media and Telecom business, so we have a service provider business which is the traditional service provider that we have. Then we have constituted a separate business unit called the Media, Entertainment, and Publishing. So those are the three verticals. And then we have the telecom equipment providers, which are the equipment provider verticals. Now, if I look at the pipeline – if I look at the business mix this quarter, it’s been kind of uniform, both the R&D business as well as the IT business. And the quality of business this quarter has been across transformation, across cost takeout, across alignment of platforms, some amount of cloud and some amount of mobility. So it’s been fairly diverse. From a geographic standpoint, it also has been fairly diverse. Europe has been strong. U.S. has been kind of flat. Asia Pacific and Middle East and Africa have been strong. But as T.K. Kurien mentioned and even Mr. Senapaty mentioned earlier on, a large portion of our business is in the equipment providers, and that has both the IT business as well as the R&D business. The R&D business is undergoing transformation because the technology there is changing, and it is moving into more core and backbone and more optical, and hence we are realigning ourselves. So our pipeline from a R&D standpoint is more on the optical side. On the IT side, it continues to be ideal for takeout and infrastructure and IT consolidation. And on the media side, it continues to be more on the profit side. It continues to be more on the digital application space, and more on the educational space. Does that answer your question?
Pradat Tandurkar – Katanarobico Asset Management: Yup, yup. Thanks a lot.
Operator: Thank you. The next question is from the line of Sandip Agarwal from Antique Finance. Please go ahead.
Sandip Agarwal – Antique Stock Broking: Yeah, I have a couple of questions. It’s for Kurien, and then probably a follow-up question. First of all, I just wanted to know what is the volume growth in this quarter specifically from Europe and U.S. separately if you can give. And second question relates to utilization. Although this has been mentioned earlier also, but I just wanted to know if utilization ends at this level, then what will drive the margin expansion next year or do you see that margins will remain stable? What is the view on that? Because utilization has taken quite a sharp fall this quarter.
TK Kurien: Sandip, let me answer the first question, then second, in that order. We don’t break up the volume growth between Europe and U.S. separately. So what we have mentioned on data sheet is the volume that we have. On the second question in terms of utilization, fundamentally, what we believe is that we don’t know which way the budgets would break. If they’re significantly positive then we don’t want to be in a position where we lose opportunity by not having people ready to kind of execute. I think that’s the philosophy. Long to medium term, we think we have enough levers in place for us to drive margin expansion. But remember as far as we are concerned, both this quarter and in the quarters to come has sales and marketing expenses that want to go up. They’re not going to remain at the same level that you saw in the past. This quarter we have again seen a 0.2% increase, and my own sense is that going forward, that’s not going to remain at that level, it may actually go up. So those are the kind of factors that you need to consider for you to kind of arrive at your decision on margin since we don’t guide on margin.
Sandip Agarwal – Antique Stock Broking: And one small last question, like, do you think the churn in vendors will continue to be good this year in the new budgets also – post budget because the cost-cutting pressure finally in the Europe region are, I think, at all time high, so what is...
TK Kurien: We all hope so.
Sandip Agarwal – Antique Stock Broking: Okay, thanks. That’s all from my side.
Operator: Thank you. The next question is from the line of Pankaj Kapoor from Standard Chartered Securities. Please go ahead.
Pankaj Kapoor – Standard Chartered Securities: Yeah, I have two questions. First, if you can comment on the pricing environment in terms of the discipline among the vendors that you’re seeing in the marketplace? And second, if you can just throw some light on the performance of the BPO business, which for the last three, four quarters has seemed a fairly muted group? Thank you.
TK Kurien: So Pankaj, I’ll do two things. I’ll give you some color on the pricing, the way we’ve seen it. I won’t talk about pricing discipline because at the end of the day, every company decides strategy in front of a customer. So on that extent, I don’t see a particular trend pricing discipline which I can kind specifically call out. But broadly we’ve seen no change in coupon rates. We have not seen an upward buys in coupon rates, nor have we seen too much of downward pressure. Some industries, of course, are challenged, but whatever challenges they have in terms of coupon rate that we think we have enough levers to kind of mitigate that by way of delivering service in a different model. So that’s the broad commentary, if you may, on coupon rates. As far as the BPO business is concerned, Manish Dugar who is the head of our BPO business can kind of react to it. But all I can tell you is that the BPO business is a very funny business because from the time you get the business to the time you get revenue, it’s not like the IT business is in quarter in terms of turnaround. It’s a much longer period. But Manish can throw some color in terms of what he expects to see in that business and his prospects for growth for the next couple of months.
Manish Dugar: Hi, Pankaj, Manish Dugar here, good afternoon. T. K. mentioned already about the time lag between when you win a deal and when the revenue starts flowing in. And I would to add to it that given we do mostly business where we are providing outcome as a commitment, and there’s a continuous improvement which downplays to productivity gains year-on-year. We are effectively in a treadmill which means that the run rate revenues keep declining, and the flattish or the slight drop in numbers reflect mostly that. Having said that we have had decent inquiries from the clients and if you look at the Gartner report it says that Wipro has the biggest percentage of new inquiries from clients especially in the BPO business. We have seen decent pipeline, decent business in the last two quarters, which gives us confidence of the numbers coming back. To some extent the numbers that you see currently from a revenue perspective are reflective of the softness in the BPO industry as such, and I don’t think that’s going to be reflective of how we look at it going forward.
Pankaj Kapoor – Standard Chartered Securities: So, just one clarification there. Is any slowdown in the transaction processing, I mean because I believe, you’re more, as you mentioned outcome-based revenue line? And second is there any proactive rationalization of the portfolio?
Manish Dugar: Clearly, we are seeing that organizations which are able to give integrated value propositions, and that is working out very well for organizations like ourselves are clearly getting a higher mindshare of the customers in terms of pipeline deal wins. And I don’t think there is anything to believe that the transaction processing and the knowledge processing site of business is going down. If at all, it’s actually looking better. And so far as the portfolio rationalization is concerned, I guess except for a few cases when the clients are coming up for consolidation of what we are doing all, we’re looking at how they do things. Most of the work is being driven by organizations which are going proactively and trying to recommend to the client what they can do differently rather than responding to RFPs.
Pankaj Kapoor – Standard Chartered Securities: Thank you, that’s all for my side.
Manish Dugar: If I could just add just one more thing. It’s a very, very good question that you asked the transaction processing. So here’s what we have seen, and Manish can kind of add to that. On the standard horizontal platforms like F&D, HR, we are clearly seeing that that’s an all-marketed segment but on the vertical processes, you still see lots of opportunity.
Manish Dugar: Exactly. And we have built significant capabilities in that, both from a investment banking side and from energy, utilities, and from healthcare and insurance side, and we see that market. With the market opening up, it kind of bodes very well for us to capitalize on that opportunity.
Pankaj Kapoor – Standard Chartered Securities: Thank you. That’s all for my side.
Operator: Thank you. The next question is from the line of Pinku Pappan from Nomura. Please go ahead.
Pinku Pappan – Nomura Financial Advisory & Securities: Hi, thanks for taking my question. T.K., could you give us some color on the drivers behind your financial services growth this quarter specifically geography-wise. And also on the pipeline, you talked about some pressure on I-banking, so can you give us some sense of how your pipeline looks? And you also saw some of your peers talk about vendor consolidation in financial services, so a bit – mention there also, please? Thanks.
TK Kurien: So, Pinku, what I’ll do is that I ask Soumitro Ghosh who runs our banking and financial services business right here with me. He can comment specifically on that entire segment.
Soumitro Ghosh: Yeah, hi. This is Soumitro. So I’ll give you two or three colors. One is in terms of the market segment per se. The second is the demand trend. So from a market perspective as T.K. had talked about earlier, the Insurance segment and the Retail Banking segment, they seem to be doing quite well, and there isn’t any major challenge which we are seeing out there. The only concern would be on the investment banking side and there it is understandable because it is directly related to the market and trading volumes, et cetera. From our demand trend perspective, since cost is a big initiative across all the three, there are huge initiatives on cost take-out as well as cost variablization. That’s one. Second is there is a huge initiative around regulatory, and there is a lot of money being spent in the regulatory space. Third is in terms of demand generation and depending on which geography you are in, there are a lot of initiatives being taken on demand and especially in the FX side followed by U.S. Europe will see – Europe and U.K. will see little of demand generation. And the demand gen part is more driven today around the digital world and take it up toward mobility, but a lot of money is even being spent on the Internet channels. So that’s the third. The fourth one is analytics, and we are seeing spend in the financial services companies in analytics in all the three areas: front office, middle office, back office. The front office being on the customer acquisition side, the middle office being around risk, and the back office being around operational improvement.
Pinku Pappan – Nomura Financial Advisory & Securities: How about vendor consolidation needs? We heard some of your peers talk about this happening again in financial services. What’s your take on it?
Soumitro Ghosh: Yeah, so I talked about the cost takeout and cost variabilization initiatives. So as a part of that, there is rationalization happening around four areas. There is rationalization across apps, across process, across infrastructure and around the portfolio itself. So in many of the accounts, the smaller vendors do run the risk of being rationalized out. So we are seeing at least three cases within the banking segment more, where there is a good opportunity over in the rationalization. On the process part, I would like to emphasize that there is a lot of work which is happening around process reengineering and process automation and the enabling of the process itself. And one expects that there will be big initiatives which people will be taking around process side. Most of the spend and initiatives earlier have been on their upside.
Pinku Pappan – Nomura Financial Advisory & Securities: Okay. My last question, T.K., it was good to see some improvement in economic spend this quarter. Can you walk us around – are you done with the whole tweak on the sales and front end? Can you walk us to some of those major changes you have done in the organization and what spending again?
TK Kurien: Pinku, on the sales side, if you ever stop, you’ll get left behind. So I think that’s the kind of approach that have taken because I think we have enough head space and lots more work to do in making sure that the sales engine becomes far more effective than it is today.
Pinku Pappan – Nomura Financial Advisory & Securities: Okay. Thank you.
Operator: Thank you. The next question is from the line of Vipal Saldi from Admin Share and Stockbroking. Please go ahead.
Unidentified Analyst: Good afternoon and congrats on a good set of numbers. Could you throw some light on the product business which was down this quarter, and how do you see the same ramping up in coming quarters?
TK Kurien: I’m sorry, Vipal. Can you repeat the question? I didn’t get that.
Unidentified Analyst: Yeah. The product business which was down this quarter and how do you see the same ramping up in coming quarters?
TK Kurien: We typically don’t guide for products, but this is very much linked to the budget cycle that we typically have in India, and that’s a large component of it. Typically, if you look at the past, if you look at the product cycle, it goes through two peaks, one in September, and the other one in March. December has traditionally been a big quarter for us.
Unidentified Analyst: And what are your opportunities like that we are seeing?
TK Kurien: In the products business?
Unidentified Analyst: Yeah.
TK Kurien: So, for us, any insight, any system integration or any infrastructure opportunity necessarily has product behind it. And to that extent, it’s completely dependent upon the capital expenditures that people will be incurring in this particular quarter.
Azim Premji: Apart from the various projects that the government is investing in, whether it is the Minister of Finance or the DHT, whether it be DTC or related with a lot of key government projects.
Unidentified Analyst: Okay. I just wanted to understand because like one of your peers, like since the growth in the India, geography was lower. So is that because basically that is reflected in your product business?
TK Kurien: No, no, no. I think if you look at it, if you look at our services business, it will be reflected – I think that’s what we’re talking about. The services business is really a question of converting back from rupees into dollars, given the dollar rates that we have.
Unidentified Analyst: Okay. And (inaudible) strong in terms of the additions that we are looking for next quarter and the (inaudible)?
Suresh Senapaty: We don’t give specific guidance for the head count that we add for the current, next quarter or the year because it is a function of how the growth that comes around. We only guide IT Services revenue in constant currency for the next quarter.
Unidentified Analyst: But the guidance that we have given would be completely volume based and with stable pricing?
Suresh Senapaty: The expectation is large part of what we have guided is expected to be volume driven.
Unidentified Analyst: Okay. And last question on interest cost, like this quarter it has come down, so could you just give some more insight to that?
Azim Premji: The interest cost and the inflection of the actual cost, plus you also have the exchange fluctuations in (inaudible) there. And because of it, you see a lower interest cost in rupee.
Unidentified Analyst: Okay. Okay, fine, that’s it. Thanks so much.
Operator: Thank you. The next question is from the line of Dipesh Mehta from SBICAP Securities. Please go ahead.
Dipesh Mehta – SBICAP Securities: I have two questions, one is, if I see your top customer, now trailing 12-month is more than $200 million and if I go to two, two and a half years back, it was around $100 million. And if say top five customers, take $60 million current run rate, and same period back, it is around $475 million. I just want to understand whether we have similar customers always driving growth in top customer, or we are seeing churning among top five first? And what kind of traction we are seeing in those top five customers? Second is about our onsite (inaudible) of our onsite is now 54%. Just a few quarter back it was around 50%. So, that mix also ,if you can provide some color going forward. Thanks.
TK Kurien: So, Dipesh, Dalal will provide some color on both.
Jatin Dalal: Yeah, hi. So Dipesh, your first question was on stock price or similar, so we had healthy sequential growth in both top customer as well as top five customer. We typically have a churn in our top five and top 10 customers, but it is not a continuous churn. It is relatively stable, though some customer after a few quarters always tend to drop out and some new customer get vetted. So, to that extent it is a stable growth from top set of our customers. Though without commenting specifically this quarter it was constant or it was a churn. This is my answer to your first question. We have relatively stable top customer set.
Dipesh Mehta – SBICAP Securities: Just to ask further, I just want to understand – my basic purpose for asking is, is there any one or two client is driving top 10 performance or that is very broad based?
Jatin Dalal: It is broad based.
Dipesh Mehta – SBICAP Securities: Okay, and onsite?
Jatin Dalal: Yes, on onsite, if you see – post our acquisition of SAIC’s global business, our onsite component has gone up compared to let’s say Q1 of this year or Q3 of last year. And that is primary because of the revenue is on onsite center.
Dipesh Mehta – SBICAP Securities: No, that I understand, but going forward do you expect again to return to our earlier thing or do you expect because of stake now, it would be relatively higher than historically standard?
Jatin Dalal: So it is a function of the new project commencement from quarter to quarter, so it is difficult to comment. And we will remain in our normal trends, all medium term, but it’s difficult to say what will happen in Q4 or Q1.
Dipesh Mehta – SBICAP Securities: Okay. So broadly, we would like to next two years kind of (inaudible) than towards more offshoring?
Azim Premji: That’s right.
Jatin Dalal: That’s correct. Yes.
Dipesh Mehta – SBICAP Securities: Okay. Thanks.
Operator: Thank you. The next question is from the line of Ashwin Mehta from Nomura. Please go ahead.
Ashwin Mehta – Nomura Financial Advisory & Securities: Yes. Just one question in terms of – given that we have had around a 70 bp positive on margins because of currency this time, but despite a 9% rupee depreciation, so if the rupee were to continue at the current average rate of 50.5 that you saw, do you see the major benefits of rupee to come to margins in the next quarter?
Rajendra Shreemal: This is Rajendra here. I think I’ll answer it. I think because of rupee depreciation, we have not seen a margin uptake. It’s also because the way you report the numbers. To increase at Wipro, we have the entire gain or loss on the contract exchanges, fluctuations, become the part of the revenue line item, and due to that, the entire impact does not look in terms of margin expansion. So if you work with normalization where we had to take the exchange rate fluctuation out, and just report the revenues on the spot basis as our peer group does and do it just for the currency, you will see that we also had a margin expansion of about 2.7%, and hence the rupee depreciation has yielded the margin expansion, but because of the way we account and report it, it showed a lower number. And rupee depreciation also gave us enough buffer in terms of investing more in S&M and G&A in this quarter.
Ashwin Mehta – Nomura Financial Advisory & Securities: Okay. And the second question is in terms of utilizations given that we have created a significant buffer in terms of utilizations. What is the thinking going forward in terms of whether we will utilize this buffer given the growth that we are guiding or we would like to maintain it steady and keep that buffer intact?
Jatin Dalal: Yes. So, Ashwin, this is Jatin. So there are two components to the capacity building. The one is towards insurance toward volatility in demand. And as we consume more, that component will come down. And the second component of utilization is towards the investment in solution building and creating center of excellences for future technology. Some of that could stay relative. So it’s difficult to call, but yes, this expansion – the selection in utilization number is for the future demand, which is what we have guided for Q4 and quarter after.
Ashwin Mehta – Nomura Financial Advisory & Securities: Okay. Thanks a lot and all the best.
Operator: Thank you. Ladies and gentlemen, that was the last question. I would now like to hand the floor back to the management for closing comments. Please go ahead.
Rajendra Shreemal: Thanks, Melissa. We thank you all for participating in this call. I would also like to update to the investors and analysts the changes in the Investor Relation function at Wipro. Manoj Jaiswal will take over from me as the Head of Investor Relation and Corporate Treasurer going forward. So that’s an update. And should you have any questions which we did not answer because there are few more people on the queue which we could not take the question, they can get in touch with us, with me, and we’ll be happy to answer any questions that you might have. The transcript of this audio will be archived in our website as soon as possible. And we would be happy to speak to any of you if you have any further questions. Thanks a lot and have a wonderful evening.
Operator: Thank you, gentlemen of the management. Ladies and gentlemen, on behalf of Wipro, that concludes this conference call. Thank you for joining us and you may now disconnect.